Operator: Good morning, and welcome to Newmont Mining's Second Quarter 2012 Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'd now like to turn the call over to John Seaberg, Vice President of Investor Relations for Newmont Mining Corporation. Thank you. Sir, you may begin.
John Seaberg: Thank you, operator, and good morning, everyone. Welcome to Newmont's Second Quarter 2012 Earnings Conference Call. Joining us today are Richard O'Brien, Chief Executive Officer; Gary Goldberg, President and Chief Operating officer; Russell Ball, Executive Vice President and Chief Financial Officer; and other members of our executive leadership team. Turning to Slide 2. Before we discuss the quarterly results, I'd like to refer you to our cautionary statement as we will be discussing forward-looking information which is subject to a number of risks, as further described on our -- in our SEC filings, which can be found on our website at newmont.com. And now, I'll turn the call over to Richard O'Brien.
Richard T. O'Brien: Thanks, John. Before we jump into the quarter, I'd like to take a few minutes to comment on the recent announcement regarding Gary Goldberg's promotion to President and Chief Operating Officer. I worked with the board to recruit Gary to Newmont last year, and I recommended this promotion in recognition of the scope of his responsibilities and the substantial contributions he's already made in Newmont. As you know, Gary joined Newmont in December of last year with a 30-year track record of success at Rio Tinto. Throughout his career, Gary has been widely recognized for his achievements in safety, environmental stewardship and social responsibility. He's quickly come up to speed on our business, opportunities and challenges and has proven himself to be an outstanding addition to Newmont's senior leadership team. As a reminder, today Gary is responsible for worldwide operations; projects of safety and loss prevention, security solutions and innovation; and business excellence. Gary and I have developed an excellent working relationship and I look forward to continuing our work together as we build on our existing foundation of capital discipline, balance sheet strength, profitable operations, extensive exploration and project opportunities in our industry-leading dividend policy. Many of you have already met Gary, some at our recent Investor Day, and going forward, you will have many opportunities to get to know him better. This week, we also announced the election of Kofi Bucknor to our Board of Directors. Kofi brings significant financial expertise, as well as extensive knowledge of Ghana in Africa. I'd also like to take the opportunity to acknowledge the passing of the Ghanaian President John Atta Mills. We appreciated the support from President Mills over the past years and know that he will be remembered for his statesmanship and years of dedicated service to his country. Now turning to Slide 3. As we talked about in May at our Investor Day in New York, we reaffirmed our commitment to offer shareholders a combination of profitable growth, disciplined returns, strong exploration potential, balance sheet strength and our industry-leading gold price-linked dividend. Our second quarter and year-to-date operating results performed in line with our budget. Exploration is on track to cover reserve depletion and exceed 100 million ounces of reserves in 2012. As expected, our second quarter gold production was impacted by annual planned mill maintenance in Nevada, lower tons mined at Tanami in Australia and lower gold and copper production from Batu Hijau in Indonesia as we continue with the planned stripping to Phase 6. While we had a few items in the quarter that impacted our earnings, which Russell with speak to later in the call, we remain generally on track to deliver on our financial and operational goals established at the beginning of this year. As noted in our earnings release yesterday, we're narrowing our 2012 outlook for attributable gold production to 5 to 5.1 million ounces, while maintaining our outlook for CAS of $625 to $675 per ounce. We've also lowered our 2012 attributable capital expenditure outlook by approximately $300 million, primarily as a result of our slower development timetable at Conga in Peru. We expect our advanced projects expenditures to be approximately $50 million to $60 million lower in 2012, primarily as a result of our deferred development plans in Peru, as well as our refined scopes of work at several of our early-stage projects in Nevada and in our Asia Pacific region. Similarly, we expect our exploration and G&A spending to be lower by approximately $40 million to $50 million this year and 10 to 12 -- $10 million to $20 million in G&A: so $40 million to $50 million for exploration, $10 million in G&A. We're also mindful to balance our desire for increased efficiency with our continued commitment to build a healthy, more efficient and growing business, which is entirely consistent with what we discussed with you at Investor Day. So as a result, our adjusted outlook for advanced projects exploration and G&A spending has been reduced by approximately $100 million for 2012. As we continue to optimize our portfolio of projects and businesses, as we refine our plans and focus on total cost reductions, we do expect to identify further efficiencies and cost savings for 2013. And we will share that with you when we communicate our 2013 expectations. We also remain committed to capital discipline and shareholder return. Earlier this week, we also announced a quarterly dividend of $0.35 per share based on last quarter's average afternoon gold fix of $1,609 per ounce. At our current share price, this equates to a yield of approximately 3%. Turning to Slide 4. As many of you know, our project pipeline includes a number of advance-stage development opportunities, such as the Akyem project in Ghana, which Gary will talk about in a bit, as well as some earlier-stage opportunities that we continue to optimize and refine. Our portfolio has the potential to reach 6 to 7 million ounces of attributable gold production over the next 5 years, depending on future events in Peru as well as the results of our ongoing earlier-stage project optimization efforts across each of our regions. We will keep you informed of our progress and evaluation of our earlier-stage projects, including Subika, the Ahafo Mill project, Waihi, Merian and Long Canyon, as well as various regional expansion opportunities. Turning to Slide 5. Conga is still in our plans, but moving ahead on a very measured basis. We are focused on the construction of additional reservoirs, completing the construction of the camp in engineering and the final procurement of major equipment, while at the same time working closely with the government and the community to build this project in a safe environmentally and socially acceptable manner. In support of this effort for 2012 and 2013, we have, as we've communicated previously, revised our estimates for capital spending at Conga to $440 million on an attributable basis. Thus far in 2012 we might have spent approximately $185 million in development of water reservoirs, engineering, equipment and camp construction. However, I must continue to caution that ongoing community unrest and protests could further delay advancement of those activities. Our relationship with the communities in Peru is extremely important to us. We hope to continue working cooperatively with the government of Peru and the local communities, as well as with the regional government, through the mediation and dialogue process to develop a peaceful and amenable solution to the political, social and other issues that have led to protests and community unrest in the areas outside of our immediate area of influence around Conga. We note the recent Peruvian government cabinet changes and look forward to continuing to work closely with the government, with the new Prime Minister and continuing to support President Humala's social inclusion plan with responsible mining playing a key part. As we've said, further development of the Conga project will occur only with local and national support and only if it can be done in a safe, socially, environmentally responsible manner with risk-adjusted returns that justify future investment. Now I'll turn the call over to Russell Ball to discuss our second quarter financial and operating results.
Russell D. Ball: Thanks, Richard. Good day, everyone. Turning to Slide 6, you will see the second quarter and year-to-date financial and operating numbers. Before jumping in, some context around the second quarter, which historically is our most challenging quarter due to scheduled roster maintenance in Nevada and seasonality issues at a number of our operations. Clearly, this quarter was no exception. Having said that, from a production and CAS perspective, we're on budget for the first 6 months and we are significantly below budget on capital expenditures, a trend I expect to continue and not just because of the slowdown in Conga. Reading the sales coverage this morning provided some interesting perspectives on the quarter. I think Stephen Walker at RBC summed it up quite nicely, and I quote, "Earnings missed not as bad as it looks," as did John Bridges at JPMorgan: "Numerous negative adjustments, but operations looking firm." I will explain why and provide a little perspective on the quarter's results. Revenue was down 6% on lower gold and copper volumes and a lower realized copper price, partially offset by a higher gold price. Net income was in line with budget although significantly lower than the prior year quarter. This was due in large part to a $200 million quarter-on-quarter reduction in pretax income at Batu Hijau in Indonesia. We've discussed previously, you shouldn't expect a turnaround at Batu Hijau until we get into Phase 6 ore, currently scheduled for early 2014. Adjusted net income was $0.59 per share, largely in line with budget, but approximately $0.30 short of the consensus earnings estimate. I wanted to spend a couple of minutes stepping you through 5 items that account for about $0.24 or 3/4 of that shortfall. We incurred approximately $52 million in care and maintenance costs at Hope Bay as we wind that project down. As you know, we wrote our investment offer at the year end, but in terms of U.S. GAAP, we were not allowed to accrue for all future care and maintenance costs, so we have to expense these as incurred, going forward. Due to the fact that we have no Canadian-sourced income, we also have to raise the valuation allowance against the related deferred tax assets, so pre- and post-tax numbers on Hope Bay are essentially the same. The resulting impact to earnings of that $52 million was about $0.10 a share. Going forward, we expect to spend approximately $50 million on closure costs at Hope Bay in the second half of the year before entering into a steady-state care and maintenance run rate of approximately $20 million a year starting in 2013. We had a timing issue related to sales of concentrates that resulted in an inventory build for the quarter of approximately 40,000 ounces of gold and 9 million pounds of copper, reducing earnings by approximately $0.05. Going forward, to address this, we will be releasing quarterly production and sales volumes prior to releasing the quarterly financial results. The movements in finished goods inventory, which can be significant, are more visible and less of a surprise when we report earnings. Operating costs for the second quarter were $5 above the high end of the annual guidance range at $681 an ounce or $30 above the midpoint of the range. This $30 delta above the midpoint reduced earnings by about $0.05 a share. For the full year, we maintained our original outlook of $625 to $675 an ounce despite narrowing the expected production range to 5 to 5.1 million ounces due to the operating challenges at the Tanami. I suspect we will end up slightly above the midpoint of the guidance range for we still have 2 quarters to go. $18 million negative mark-to-market adjustment on copper provisional pricing reduced earnings by $0.02 per share. And finally, the quarterly tax rate was at the top end of the previous guidance range. The delta above the midpoint of the previous range to where we ended up for the quarter reduced earnings by 1/3 or $0.02 a share. We have narrowed the tax rate outlook for 2012 to 30% to 32% while continuing to work on a number of tax planning opportunities for the second half of the year. So clearly, a lot of noise this quarter, but I remain confident we will deliver what we promised for the full year. This is a long-term business that is volatile by nature, but being public, it's one that gets judged every 90 days. Slide 7. As noted previously, the operations generally performed in line with budget. Attributable gold production of 1.18 million ounces was, however, marginally below the year-ago quarter. Gold costs applicable to sales of $681 an ounce were up 17% with higher-than-budgeted costs in Boddington, Ahafo, Tanami and Waihi, offset by a strong quarter at Yanacocha, Jundee and KCGM. Copper costs applicable to sales reflect the ongoing Phase 6 waste removal and processing of low-grade stockpiles at Batu Hijau. Gary will spend some time covering the operating results in more detail, shortly. Turning to Slide 8. As outlined in our dividend release earlier this week, we modified our gold price-linked dividend policy to provide greater visibility and transparency to the realized gold price used to calculate the amount of the dividend. Under the old policy, we linked the dividend to our net realized gold price, which is calculated after treatment and refining charges and any mark-to-market adjustments on provisional pricing. Going forward, we have linked the dividend to the average London P.M. gold fix for the quarter, which is an independently published number. This will eliminate any bias for us and hopefully provide greater clarity and visibility into the expected dividend, although as noted previously, the actual dividend remains subject to board approval. Moving to Slide 9. The second quarter average London P.M. gold fix of $1,609 announced translates into $1.40 annualized dividend or $0.35 for the quarter. The dividend is payable on September 28 to shareholders of record at the close of business on September 6. With that, I'll turn the call over to Gary.
Gary J. Goldberg: Thanks, Russell, and good morning. Before reviewing the operating results for the quarter, I'd like to take the opportunity to thank Richard for his kind opening remarks at the beginning of our call. I joined Newmont last year because of the company's reputation as a leader in sustainable development, the quality of its people and attractive opportunities for profitable growth and sustainable increases in shareholder value. The company also has a strong commitment to safety, profitability and growth, which are 3 areas that have been priorities for me throughout my career. Since I joined Newmont, I've had the opportunity to visit many of our locations and what I have seen only reinforces my optimism about the company's strengths and opportunities and the quality of our people. From a financial perspective, Newmont has differentiated itself from industry peers with its financial discipline. The company has a strong balance sheet and has delivered industry-leading per share performance in gold reserves, attributable gold production and operating cash flow. Newmont's gold price-linked dividend is unique in the industry and gives their shareholders direct leverage to gold prices. As Richard said, the board and management team are aligned around Newmont's strategic directions, and we are all focused on executing the plan in driving value for our shareholders. To be clear, while I'm excited about Newmont's strengths, opportunities and prospects, I am also well aware of the challenges, including rising total costs and increasing political and social pressures, we and others in the industry face, also including political and social pressures in some locations. I've been working closely on these issues with Richard and the rest of the Newmont team and we'll continue to do so as we sharpen our focus on profitable growth. As Richard mentioned at Investor Day, we have our regional operating teams and corporate teams focused on addressing our total cost. This includes operating costs, sustaining costs, our G&A costs and our project execution costs. We're leaving no stone unturned. And we'll share this with you as we provide our guidance for 2013. I'm very excited to be a part of the Newmont team and the opportunities in front of the company. I appreciate the confidence Richard and the board have placed in me. I hope to earn your confidence as well by doing everything I can to create value for you in the years to come. And now I'd like to recognize the quick-responding colleagues at our Waihi mine. As most of you may have heard last week, we had a truck fire in the Trio underground mine in Waihi in New Zealand, which required 28 of our colleagues to take refuge in safety chambers and await rescue. Thankfully, our people acted quickly and all were safely rescued within 7 hours. This incident ended without injury because of the training and the quick and professional response of the team at Waihi. Turning to Slide 10, you'll see that lower year-over-year production from our Asia Pacific and Africa regions were offset by increases in North and South America. Those production impacts are reflected in our costs, with Asia Pacific incurring the largest increase in costs as we experienced nonrecurring mill maintenance costs at Boddington and spread higher stripping costs, particularly at Batu Hijau and Waihi, across a lower production base. As Russell mentioned, our second quarter CAS was higher than the market's expectations. However, costs were within our budget and we remain on track to meet our full year guidance. Turning to Slide 11. In North America, we had a good quarter relative to last year, looking at production. That said, the second quarter production was down from the first quarter. This is historically Nevada's lowest quarter as we do our annual Mill 6 maintenance. This was performed as scheduled during the April -- late April, early May time frame. We're happy to report also that the ventilation shaft repairs at Leeville are complete and operations are back on track. We also received positive news at Long Canyon. The notice of intent to prepare an environmental impact statement was issued for Long Canyon on July 19. This opens the door to a 45-day public comment process. To quote Tom Kerr, our Senior Vice President of North America, "Engaging the public early will help us to ensure our high standards meet community expectations." We also received our permits, which allow us to continue to expand our exploration efforts around Long Canyon. Turning to our South America region, on Slide 12. Q2 attributable production of 213,000 ounces was 10% higher than a year ago as we processed higher-grade material and achieved higher recoveries. While we are ahead year-to-date at Yanacocha due to mine sequencing of the higher-grade material in the first half, we expect to finish the year in line with the current production guidance. Moving to Slide 13. Our Asia Pacific region was impacted by lower tons mined at both Tanami and Waihi. Tanami production was well below plan due to issues related to a shortfall of backfilling in the mine that limited access to planned stopes. Steps have been taken to address this shortfall, but it will take some time to address. Shaft development is progressing, albeit at a slower rate given the backfill issues. At Waihi, we had a shortfall of ore mining in the open pit due to a quarter 1 wall failure and a delay in development work in the underground mine. Both the Tanami and Waihi shortfalls will not be made up in 2012, and we have adjusted our production guidance accordingly. Our costs were impacted by lower production in Tanami and Waihi, the higher stripping at Batu Hijau, as well as the mill maintenance cost I previously mentioned at Boddington, which included tertiary crusher overhauls -- overhaul, major liner replacements and a mill motor replacement, as well as the related downtime. Regarding the divestiture of the last 7% tranche at Batu Hijau in Indonesia, the Constitutional Court has given notice that it will read its decision next Tuesday on the central government's capability to buy the 7%. This decision should provide clarity on who will be the owner of this 7% stake in PTNNT. The current guidance assumes 48.5% ownership for the remainder of 2012. On Slide 14, we've summarized second quarter performance of Ahafo in Africa where production of 132,000 ounces was down 9.5% from the second quarter last year due to lower throughput and grade. Cost was $583 per ounce, up from a year ago due to lower production and a higher direct mining costs. The Akyem project is currently 53% complete and is tracking on schedule and on budget, with first production expected in late 2013. I'd like to now turn the call back over to Richard.
Richard T. O'Brien: Thanks, Gary. As we've said for a number of years, execution matters. We must do what we say we will do, and for 2012 that means deliver on our 2012 plans. We're halfway through 2012 and we're well positioned to do just that: deliver on our plans for 2012. For the future, we remain focused on delivering profitable growth, realizing exploration potential and ensuring competitive project returns on capital. Recognizing that, when things change with respect to potential social, political and other risks, we will incorporate those changes and risks into our project claims and returns and ensure that our projects continue to remain viable. We don't believe that growth in any cost is a winning strategy. We continue to have one of the strongest balance sheets in the industry, which affords us the flexibility to be selective on the projects we develop, while continuing to reward our shareholders with one of the best dividends in the industry. We will maintain that strong balance sheet. And finally, we're focused on reducing our total costs, not just operating costs and not just capital costs, but all of our costs right through the portfolio, from the exploration stage all the way through closure. And we'll do so while ensuring we maintain focus on delivering longer-term value in accordance with the strategy we discussed with you at Investor Day. Thank you for listening into our call. And operator, we'll now open it up to questions.
Operator: [Operator Instructions] Our first question’s from John Bridges, JPMC.
John D. Bridges - JP Morgan Chase & Co, Research Division: John Bridges. So I was just wondering -- a lot of the adjustments that are, of course, perfectly normal seem to have gone negative this quarter. I just wondered if there's not a better way of giving us some guidance so we don't get the negative surprises.
Russell D. Ball: John, it's Russ. A fair comment, and you're right, this quarter they did negative. Clearly, with us releasing production and sales numbers we’ll be able to address the inventory issue upfront. We do have a lot going on in the portfolio. And you're right, this quarter, most did go against us. I’ll work with John's group in particular and we'll figure out a mechanism how we can, if there are events that -- Hope Bay may be the best example in this quarter. I think most people had assumed, and maybe that's shame on me, that the accrual at the end of the year took care of Hope Bay going forward. Unfortunately, we can't accrue for those costs, and that's why on the call I tried to provide some perspective on it going forward, so I take your point. And John and I will sit down and figure out what we need to do, obviously bearing in mind we got regulatory issues we will just need to work through. But your comment’s valid and we certainly take it on-board.
John D. Bridges - JP Morgan Chase & Co, Research Division: Yes, it’s a shame when Gary's mines are ticking along quite nicely to have a result, which looks -- which is giving the wrong impression. And then, Gary, I wondered if -- we had a nice chat at Investor Day. I wonder if you could give us a little bit more color on the potential you see to work on costs. I suppose you will need a new truck at Waihi. But I just wondered what -- if you can give us some guidance on where you see costs going.
Gary J. Goldberg: Thanks, John. I appreciate it. Yes, of course, the new truck at Waihi. But when you look across the portfolio, and as Richard and Russell also mentioned, we've got a process going on where we're taking a look at really the whole portfolio: looking at our operating costs, looking at our sustaining capital, looking at our project execution costs, and ultimately you’ve got to go right back to the mine plans and the details that sit behind that. So making sure I bring maybe a little bit different background coming from base metals and some different things, that we are putting the rigor around some of the planning processes and the reconciliation processes to make sure that we're able to deliver what we say we're going to deliver, that we fully understand the variability around that and that, and that, that shows up into our plans. The teams definitely have done a great job over the years of delivering against targets, when you look at our performance, but want to continue to do that, but also make sure we've got a good eye towards costs. So we'll be in a position later this year, as we pull together our 2013 plans, to deliver that information in terms of the details around guidance for the plan for 2013 and going forward. So there's opportunities there clearly that I'm focused on, and I look forward to sharing with those -- those with you in the future.
John D. Bridges - JP Morgan Chase & Co, Research Division: In terms of time frame, you've given maintained guidance for costs, which maybe that's an element of efforts that you're putting in already. But are we talking about benefits that can come through next year or in a 3-year time frame? What sort of time frame do you see?
Russell D. Ball: So John, it's Russ. Maybe I can just add a little to Gary's commentary. As Richard spoke to in the analyst conference, we all focused on total cost of ownership. We have engaged an outside group to come in and challenge us, and we're working through that process right now. We gave you a little bit of an indication around 2012. We're still in the middle of the budget process for 2013, but it's fair to say, across the entire organization, folks are involved and focused on eliminating total cost. It's too early to give you numbers. We have to work through the steps internally and then with our board, but we will make this public when we announce not only '13 numbers but some indication of the 2014 and beyond run rate, because I think the run rate's probably the most important thing. We've all been involved with cost reduction exercises that take cost out, but they manage to somehow find them -- their way back into the organization. And the key for us is putting in place the process and the reporting and the mechanism to ensure that the cost we take out stay out, quite frankly. So that's where we're focused a little bit in the short term but significant opportunity above that, both on the capital and operating cost side, as we look at our first look at 2013. So towards the end of the year, John, we will, as Gary said, share that with you.
Richard T. O'Brien: And John, it's Richard. As I said on the call and I maintain, the management team here is focused on more efficient delivery of the same strategy that we've talked about. So we're still focused on developing our exploration potential right on through into the portfolio, executing our projects more efficiently and more effectively and delivering on our operations more effectively and more efficiently. So I look at this as continued refinement of the strategy that we have but delivering it better and more efficiently. And I know Gary's going to be a great partner in helping that to happen.
Operator: Our next question from Jorge Beristain, Deutsche Bank.
Jorge M. Beristain - Deutsche Bank AG, Research Division: My -- Jorge Beristain from Deutsche Bank. My question is, I guess, for Richard. Just noticed the strong uptick in the net debt position in the second quarter. You're up about 70% year-on-year to over $4 billion. And I was wondering how we should think about your CapEx prioritization going forward given that, if we do get a change in the gold price because of your dividend policy, we could start to see roughly 1/2 of the incremental change in the gold price be paid out in dividends, and so it looks to me like you're very sensitive to any further changes in net cash cost. So I was wondering if you could give us a sense of how sacrosanct the current dividend policy is. And then, if it is sacrosanct, how would you view prioritizing your CapEx expense and if you could give us an idea of maybe rough numbers what you'd be looking into 2013. Do you think 2012 is really a lumpy year in terms of CapEx and things will smooth off going forward?
Richard T. O'Brien: Okay, so obviously a multipart question there, so let me take part of it. So how sacrosanct is the dividend? Look, we set the dividend policy. And we've been very clear about this since we set it: We set the dividend policy in ways that we think are sustainable over the longer term. Otherwise, it wouldn't be a policy, it would just be a moment. And so it is a policy. And as it suggests, that dividend policy does in fact enforce, and we like this, capital spending and other spending requirements to ensure that we can keep the balance. But remember, when we set this longer term, we didn't incorporate copper cash flows as we set the policy. We set it to make sure that the increments up in gold price were affordable based on our plans. And with respect to lumpy capital spending, we've been, I think, clear that 2012 and '13 on the old Conga plan were the years where we would have the predominance of capital spending with respect to our 6 to 7 million ounce delivery in 2017, with capital tailing off beginning in 2015. So there are 2 lumpy years -- sorry, '14 -- '12 and '13. We still believe that. Although, with Conga deferred, we're now actually generating $300 million of additional cash flow this year, less after-tax. So Jorge, what I would say is we continue to believe in the dividend policy. We continue to watch capital spending, and we will. And we continue to believe that we can balance returns on capital with returns of capital to shareholders to generate true economic value over the short and longer term, and we're going to continue to focus on that. With respect to the net debt position, I'm going to ask Russ to talk about what we've been able to accomplish here to actually ensure that we have a very strong balance sheet and low-cost debt on the balance sheet.
Russell D. Ball: Yes, Jorge, Russ. We obviously look at that. I will say that our net debt position is ahead of what we had budgeted. We're very comfortable with it. We've spent a fair amount of time with a rating agency discussing that capital profile and the lumpiness thereof. We've also -- as we look at the balance sheet, we have $1 billion-plus in short-term marketable securities that we have been very clear about with the market we consider as cash. So I really look at that as another $1 billion off of your net debt. We will monetize those at some stage. And again, part of the cost reduction exercise is a focus on free cash flow generation. And you should expect us to be focused on that and keep asking your questions around the net debt. We believe that some debt levels for a company of this size is appropriate and we'll continue to evaluate that trade-off. We've said all along investment grade rating is a key fundamental of the company and we intend to preserve it. So you should look for us to balance, as Richard said, our desire to return capital to shareholders with the long-term financial strength of the balance sheet.
Jorge M. Beristain - Deutsche Bank AG, Research Division: Okay, such a great point about the extra cash and marketable securities. Is there any kind of metric for your investment grade rating in terms of net debt to EBITDA or debt to EBITDA that we should keep in mind?
Russell D. Ball: Yes. We look at all the usual metrics, and you've hit on 2 of them. We look forward-looking versus some of the agencies which are obviously looking at more backward-looking information, but we continue to evaluate all of those. In light of the fact that we are an unhedged company, we will have a conservative balance sheet because we do take more financial risks to metal prices, being unhedged.
Operator: Our next question from David Haughton, BMO Capital Market.
David Haughton - BMO Capital Markets Canada: Just on the topic of the build-up of inventory and timing of sales. Can you see that unwinding for the balance of the year? Or should we be thinking about this as a reasonable level to carry forward?
Russell D. Ball: Yes, David, Russ. We added about 240 million to the quarter to stockpiles and ore on leach pads. Some of the issues with the ore on leach pads is we're building higher pads and it's taking longer to get the ore out. In Nevada and at Boddington and Batu, we continue to -- not Batu, at Boddington we continue to build stockpiles as we look at optimizing cash flow, ounce productions and NAV. It was a little higher this quarter. I haven't looked at the detail around that for the rest of the year but we will -- we did also have included in that number the increase in finished goods inventory, the 40,000 ounces and the 9 million pounds, so that's obviously out the door subsequent to that quarter end. So yes, a little higher this quarter, around numbers about 100 million.
David Haughton - BMO Capital Markets Canada: Okay. Well, also, that build-up of inventory on the pads, as you described, together with the delays in recording the sales on the shipping of inventory would also help from improving your working cap position going into the balance of year too, I would expect.
Russell D. Ball: Correct. And also, just an observation on working capital: Q2, we tend to pay more taxes than the other quarters. So the tax run rate tends to pop up and in this quarter it was about $150 million higher than -- if you take the annual and divide by 4, we just have a number of payments due in the second quarter. So you're seeing that in the working capital and operating cash flow.
David Haughton - BMO Capital Markets Canada: All right. Just back to Batu. There had been a comment there that the sell-down of the last stench (sic) [tranche] might be imminent. Can you remind the -- us of the pricing of that last stench?
Richard T. O'Brien: The last tranche...
Russell D. Ball: David, it's Russ. I -- if memory serves, it was 2 49 [ph], but we'll get back to you. It's been so long. And there are some dividend adjustments related to the drop, I guess, sale and purchase agreements. So I'll get John to send you that. But if memory serves, it was 2 49 [ph], less dividends, from when we signed that agreement. And roughly 1/2 of that would come to us.
David Haughton - BMO Capital Markets Canada: And is there any implication on your ability to consolidate Batu Hijau going forward compared to simply equity accounting with the dilution of your equity stake?
Russell D. Ball: No, David. Due to the accounting provisions around these variable interest entities, the VIEs, we share a disproportionate amount and we have the ability to control it. So we see at least for the foreseeable future that we will continue to consolidate that. If and when we think that may change, we’ll certainly give you a heads-up as soon as we know.
Richard T. O'Brien: And just to be clear, David, what we said is that there would be a readout of the decision from the Constitutional Court about the 7% and the central government's authority to buy that 7%. What we didn't say is that that's going to lead to an immediate closing. We don't know what the outcome's going to be. We just know that there's going to be a reading, because that was announced publicly. So when that happens, we'll inform you all as to what that means, so look for that in the coming weeks.
David Haughton - BMO Capital Markets Canada: Is there a possibility that you'd end up with a vendo financing of it so that's -- you don't actually get the cash?
Richard T. O'Brien: That's not the intent of the current purchase and sale agreement.
David Haughton - BMO Capital Markets Canada: Okay. Last question. Finished copper, it sounds like you're making some good progress there. I just find that the way that your numbers are reporting Phoenix, although a separate entity in milling, is completely lost within the broader Nevada. Would you be separating those numbers out to give us a little bit more clarity about how that copper is progressing in the success or otherwise of the leach program?
Russell D. Ball: Dave, Russ. I'll add -- or I'll start and I'll ask Gary to add. It's a good question, it's one that Gary has asked since he's been here. As you know, historically we've reported Nevada as one unit as that's how we manage it. We are looking, as we drill down into costs, to getting a better understanding of the costs at each location. And we'll come back to you. I hear your point and I take it. Phoenix certainly has and continues to do very nicely relative to where it was historically. But I understand your issue and your desire to understand on a more asset specific. I'll ask Gary to give you his perspective, because at the end of the day, he owns these assets.
Gary J. Goldberg: No, thanks, Russ, and thanks, David. I think the key is we do have the information internally. It doesn't get reported externally in a way that you've just asked for, and we'll take a look at what we might be able to do it. But we do have the information, I see the details on how that and each part of the operation in Nevada is going. So we'll take a look at what we might do, especially as we get the copper leach on as well, to give you a little bit more information.
Operator: [Operator Instructions] Our next question, Patrick Chidley, HSBC.
Patrick T. Chidley - HSBC, Research Division: Everybody, just coming back to the free cash flow aspects of the quarter. Can you break down the $412 million of net change in operating assets and liabilities just a -- I take it that would include the $240 million that you just mentioned.
Russell D. Ball: Yes. Patrick, it's Russ. I think there's detail in Note 23, if memory serves, on the 10-Q, which went in last night. It's on Page 29.
Patrick T. Chidley - HSBC, Research Division: Okay. But basically, that stockpile and leach pad inventory bill -- is that the kind of rate that you'd expect long term as well? Or is this a special quarter?
Russell D. Ball: No, no. This is a -- and like I said, the second quarter had a little higher build to it than what we had anticipated. And included in that number that you see on that Note 29, the $443 million, is those -- or are those 40,000 ounces and 9 million pounds. So I'd say it's just a timing issue.
Patrick T. Chidley - HSBC, Research Division: And then the higher taxes.
Russell D. Ball: Yes, higher taxes, and you see that in the accounts payable and other accrued liabilities coming down, $227 million. Ignore the EGR refinery liabilities, the $406 million, that's noise.
Patrick T. Chidley - HSBC, Research Division: And then just also in terms of generating cash flow from the business, it seems if -- we saw Barrick yesterday. A lot of the bigger gold mining companies in particular are basically trying to prevent themselves from investing in lower-return projects and therefore shelving a lot of projects. And unfortunately, that comes with a lot of costs, such as we're seeing with Hope Bay this quarter. And I'm wondering if it's not better just to find an appropriate buyer for those assets and just get them out the door and then save the cash flow, because I can see that going on for quite some time at some of these things, Conga, Hope Bay, where you've got significant outgoings and not much coming in and a lot of delays, at the best-est case.
Randy Engel: Yes, Patrick, it's Randy. We have -- indeed, there are potential assets that we would love to divest if they don't meet our criteria and if there's a reasonable buyer out there.
Patrick T. Chidley - HSBC, Research Division: Because, I mean, I just think there's -- a lot of people in the market, a lot of investors, they just look at your free cash flow numbers and a lot of the cash flow or significant chunks of the cash flow are going to projects that you don't necessarily think are the highest-return projects, let's put it that way.
Richard T. O'Brien: Yes, I think, Patrick, we're pretty careful to make sure that we are investing our capital in those projects which are the highest return. And you'll note that we're not calling what we're spending at Hope Bay, even capital. We know it's an expense. We know we have to shut that mine down in -- or that exploration property down in a way which is sustainable. That was our commitment when we took the license on. That will not go on forever. And with respect to Conga, I think we've been very clear that, that project must have an economic return or we won't go forward, but it also has to have the support of the community. And we can't make that happen overnight. So I think it's a balance between spending the right amount of money in the right way to keep the option open, but not spending so much that we are not managing the project closely, something that I know Gary and his team do every day to make sure we're trying to make sure that we're as efficient as possible. But I take the point, as Randy said, just because we'd like to sell it doesn't mean somebody else wants to buy it, particularly at a price that we think or -- that we think is acceptable or one that would allow somebody to take on the obligations that we have in a way which we think is responsible. We've got to do both of those.
Randy Engel: And Patrick, I think we just re-implied, reinforced what Richard said earlier, which is, obviously what we're trying to do is make sure that we take a hard look at those projects that are marginal, but at the same time develop those projects that provide investors with upside gold price exposure and some free cash flow.
Patrick T. Chidley - HSBC, Research Division: Right, right. And then just a final question, just a broad-brush question on how you think the landscape is right now in terms of building projects, new projects, with seemingly ever-increasing capital expenditures versus just going and buying competitors.
Richard T. O'Brien: No, I -- thanks, Patrick. Obviously, you've got to look at both the challenges that we face on the project execution side are no different than our competitors' face with labor cost issues in certain parts of the world. You look to the short to medium term, maybe some parts of the commodities world backing off might be an opportunity in there. And we are looking through that as part of our costs where you looking at all the cost for executing on our projects. And we've got to make sure we build that into our look forward and our opportunities as well. But, I agree, we're no -- we're not immune to the same things our competitors are seeing in some of the costs.
Patrick T. Chidley - HSBC, Research Division: Right. But in terms of buying a competitor with a gold mine that's producing that you can actually buy the whole thing for less than building your own project, I mean, there must be opportunities like that, surely.
Randy Engel: As far as the producing targets go, Patrick, I think, once you've put on some sort of change in control premium, it gets pretty tight-defined targets that are better and cheaper than building them...
Richard T. O'Brien: But again, we look at efficient utilization of capital, and Randy's rating-and-ranking portfolio of external opportunities sits right next to Gary's rating and ranking of internal properties. And we do try to balance that and to the extent that -- it was Randy who says we can find something in the market that actually adds to our portfolio, both with respect to sustainability and return. I think that's something that we would take a look at, but it's got to have the same kind of return. We don't want to dilute shareholders or delude them by issuing a bunch of shares to buy something that might bring that same exact issues that we see that somebody else is having with development of their properties or running of their properties. So yes, I think it's always an opportunity we evaluate. It's a trade-off and it's one that we watch, again, pretty much every day.
Randy Engel: Yes. And there are a handful of targets that we've got prioritized, but again, you just -- you've got to wait for the right opportunity and you've got to weight that up against everything else you have inside.
Operator: Our next question from Brian MacArthur, UBS.
Brian MacArthur - UBS Investment Bank, Research Division: I was wondering if you can just give me some guidance going forward on Yanacocha as it looks like, as you’ve talked about, Conga may get pushed out. And you do have a good guidance in your chart, taking down production from 700,000 ounces in South America to 400, but can you -- or to -- can you just give me some guidance on what the cost structure would look like that goes along with that? If we don't get Conga going forward, as Yanacocha runs down over the next 3 or 4 years, what sort of the cost structure would look like vis-a-vis today?
Gary J. Goldberg: Brian, I'll go ahead and start, and then maybe Russ can add to that. We've got Carlos and the team down there taking a look. With obviously Conga rescheduled and some of the other early development projects like Quilish and some of the outside projects pushed off for right now, and rescheduling production over the next, especially 3, 4 to 5 years to see if we can smooth out that production profile, which will actually help from a cost standpoint and be more consistent over the next 3 years. We've got some work we're doing on water treatment that's coming in here in the next year or so to meet some of the higher end to -- for regulations that are being implemented in Peru. So that'll show up maybe early in the '13, '14 time frame. But right now, as we've got them -- we've got them looking at alternatives to really smooth out the production profile over the next 3 to 4 years before we go into decline.
Russell D. Ball: And Brian, Russ, just adding to that. We will be moving less tonnage, which clearly means that we will have less equipment and less people in those equipment moving that tonnage. That's part of the exercise Gary and his region working on. The challenge for us will be, can we reduce the costs by at least as much as the ounces to get to your per ounce number? We're still working through that exercise, but it would not surprise me to see reductions just given the change in the mine plan in the not-too-distant future.
Randy Engel: Brian, it's Randy. If you take the guidance that we've got, you've got about $350 million of operating costs attributable to Newmont there specific to Yanacocha base operations. I think, if you think about it in those terms and then you take into consideration what Russ described, you could see a reasonably stable total cost base for the next couple of years until it starts to come off harder in, say, the '15, '16 time frame.
Operator: Our next question from Michael Dudas, Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Sterne Agee. Oh yes, regarding Conga, could -- can you maybe share, Richard, maybe some milestones or timing or when we might see a bit more clarity in the situation as you're modeling it out, say, for the next 6 to 12 months?
Richard T. O'Brien: Yes. So our major milestone is to ensure that the first thing we do is keep our project people and the community safe. And as long as that's happening, the milestone is, continue to build the reservoirs on the schedule that we have. And on most days, Gary's project team is able to continue to move that forward smoothly. A lot of what you read about in the press is actually outside of ring [ph] 2 and, in some cases, even outside of ring [ph] 3 in demonstrations around Conga and around other issues in the community. So the milestones unfortunately in that area, political, social, community, I think are milestones which unfortunately we don't get to drive. But what I would say is that the President of Peru and his Prime Minister, we know -- even his new Prime Minister, who we've not had the opportunity to meet yet but hope to soon, will continue to foster a dialogue table, a listening table in some respects, to provide hopeful outcomes for mediation. And I would expect that, that will continue over the next weeks and hopefully in the next month and we'll see if we can get some outcomes of that. To date, that has not happened, but we have been able to continue -- as I said, on almost all days to continue to work on the reservoir construction. And we're hopeful that, that reservoir construction will generate the water that people apparently are more worried about than we believe they should be because that water delivery system, we know, will work and be better than what's there existing and that, as we do that, hopefully we'll earn credibility with the local community, for sure, and hopefully outside of that. And we just want to be mindful that the milestones that are out there are milestones that are, one, achievable and, two, we can drive. Unfortunately, with respect to the regional government and the central government, a lot of what's happening there is more on the political and government side and we just -- we don't know how to help in that other than participate in the dialogue table. And we're hopeful that those will continue to be sponsored by the right people and that we'll get the right discussion going.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I appreciate that answer, Richard. And a follow-up, maybe, I think, another political aspect towards -- turning to Ghana. With the untimely death of the President, as you mentioned earlier in the call, and with the transition there and with, I guess, elections coming up, any issues regarding transition or laws or legislations that would impede or maybe support or help your opportunities with the development of Ghana?
Richard T. O'Brien: The short answer is we don't see anything that's going to change that current environment in Ghana. I think, as President Obama has said historically, Ghana really is the shining light of democracy in West Africa. And it is that way because, even as the -- President Mills' election showed with less than 2% in terms of his voting in the last election, he came in smoothly with support of the Ghanaian people and really no issues in transition. We would expect that, that would continue to be the case in Ghana, which is 50-plus years into democracy. Our agreement, just to be clear, is one which has been approved by Parliament if for -- that covers both Akyem and Ahafo. On the other hand, that agreement is only as good as our continued commitment and the government's continued commitment to stay in dialogue about issues. And under Atta Mills, we had several layers of discussions going on with the government to ensure that changes in law around royalties and taxes were well understood, that those impacts under our current agreement were well understood. That dialogue is going on and, I would suggest, will continue to go on. And I think that it's that positive dialogue that allows us to continue to say that Ghana continues to be one of the best places for us in our future in terms of exploration potential, in terms of the ability to develop projects, in terms of the long-term support and commitment of the government and in terms of really having great people supporting us in the projects. So Ghana continues to be not just a shining light for democracy but, I think, a shining light for Newmont. Okay. So that's the extent of our time today. Really appreciate your listening to our call and attending. And thanks for continued attention as we continue to deliver ongoing performance under our plan.
Operator: This concludes today's conference. You may disconnect at this time. Thank you for your participation.